Operator: Ladies and gentlemen, welcome to the Cognizant Technology Solutions' First Quarter 2011 Earnings Conference Call. [Operator Instructions] I would now like to turn the conference over to David Nelson, Vice President, Investor Relations and Treasury at Cognizant. Please go ahead, sir.
David Nelson: Thank you, and good morning, everyone. By now, you should have received a copy of the earnings release for the company's first quarter 2011 results. If you have not, a copy is available on our website, cognizant.com. The speakers we have on today's call are Francisco D'Souza, President and Chief Executive Officer; and Gordon Coburn, Chief Financial and Operating Officer of Cognizant Technology Solutions. Before we begin, I would like to remind you that some of the comments made on today's call and some of the responses to your questions may contain forward-looking statements. These statements are subject to the risks and uncertainties as described in the company's earnings release and other filings with the SEC. I would now like to turn the call over to Francisco D'Souza. Francisco?
Francisco D'Souza: Thank you, David, and good morning, everyone. Thanks for joining us today. I'm pleased to announce another solid quarter for Cognizant. Our first quarter revenue grew more than 4.5% sequentially and 43% over last year to over $1.37 billion. Our non-GAAP operating margin came in half a point higher than our 19% to 20% target range, positioning us well to absorb promotion and wage increases scheduled to take -- to start taking effect during the second quarter. Our growth was broadly consistent across industries, with the exception of our Manufacturing, Logistics, Retail and Hospitality segment, which stood out with close to 13% sequential revenue growth, as our Retail clients came out of the traditional IT lockdown associated with the fourth quarter holiday shopping season. Across geographies, growth reflects the uneven economic recovery. Our North American revenues grew nearly 6% sequentially, which reflects solid performance, especially given the absence of last year's pent-up demand. Growth in other geographies was more muted. Our businesses in Asia, the Middle East and Latin America, the markets we collectively refer to as the Rest of the World, showed a slight decline in revenue, and Europe overall grew approximately 1.5% sequentially. While our European results were partially the result of the expected ramp down in certain M&A related projects, demand in the region was generally soft. However, our pipeline of deals in these regions, particularly in Europe, remains strong. As we look ahead to 2011, our core strengths, our unique financial model, our trusted client relationships and our board and global delivery network, give us confidence in our ability to deliver industry-leading growth by helping clients navigate the present and embrace what we call the Future of Work. Although we don't expect to benefit from pent-up demand and M&A integration work as we did last year, our outlook remains optimistic. As a result of that, we expect Q2 revenue to be at least $1.45 billion and are increasing our guidance for the full year 2011 to at least $5.925 billion or at least 29% year-over-year growth. This guidance reflects healthy demand in North America, paired with a pickup over the course of the year in Europe and the Rest of the World. Across our business, I'd like to now spend a little bit of time pointing out areas of particular strength and opportunity for Cognizant. As we said in the past, our clients are simultaneously balancing 2 mandates as they emerge from the recession. First, the drive to continued efficiency and effectiveness from established processes and infrastructure into which decades of investment have been made. And second, to invest in the transformational capabilities in order to remain competitive and to drive top line growth for their businesses. Cognizant has long positioned itself as a trusted consultative partner with a deep understanding of our clients' businesses. This is perhaps best illustrated by the fact that in 2010, our top 10 clients each accounted for more than $100 million in revenue. And this quarter, the total number of client that we consider to be strategic stands at 173. It's these types of deep relationships that give us the opportunity to help clients balance their dual mandates. So first, we're helping clients to operate and improve existing processes and IT infrastructure, and we think of this as the natural growth and extension of our established business model. Coming out of the downturn, this has manifested itself as a share shift, as companies drive new tranches of work and corresponding budget to global delivery models. We estimate that these newer service lines such as Analytics, Business Process Outsourcing and IT Infrastructure Services collectively represent a market opportunity that's nearly 4x larger than our traditional application, development and maintenance market. As an example, when Marks & Spencer Group, one of the U.K.'s leading retailers, needed to free up investment capital for a multi-year growth strategy, they selected Cognizant to help improve operational efficiencies, drive business effectiveness, and enhance their already superior customer experience. Our managed services approach achieves this by blending traditional application services and newer Infrastructure Services to support mission-critical processes, spanning multiple lines of business and functional areas such as procurement, supply chain, forecasting, sales, stock replenishment and financial management. Similarly, we are seeing significant interest in a strong pipeline of managed business services deals that combine our traditional IT work with BPO solutions. We've achieved significant differentiation in our BPO businesses by focusing on deep industry-specific processes. I'm encouraged by the interest that we are seeing in the market for these combined IT and BPO deals, and I expect to continue to invest in building out our capabilities in these areas. In addition to working with clients to improve efficiency and effectiveness, we are also working with them to drive their innovation and growth agendas. To achieve this, to their second mandate, clients parlay savings from operational improvements into new capabilities that drive their top line growth. Engaging with clients to help formulate an approach to grow an innovation requires a strong management consulting capability, which we have built with Cognizant Business Consulting. We've been building CBC with this goal in mind for several years and believe that it is now a key competitive differentiator at this point in the economic cycle. By demonstrating this value to our clients, the CBC team has grown to more than 2,500 consultants, increased their utilization and bill rates and established a Consulting pipeline that is deeper and richer than at any time in our past. You know the backbone of most clients’ IT operations today still remains their ERP [Enterprise Resource Planning] or enterprise application backbones. As clients seek to drive new capabilities, in general they have to upgrade or customize these backbones. As a result, our practices in the enterprise applications like Oracle, SAP, our CRM [Customer Relationship Management] businesses, our BPM [Business Process Management] businesses and other customer solutions saw strong growth this quarter. Collectively, this group of practices grew 14% sequentially in Q1. And finally, our focus on cloud and social technologies provides us with the critical capabilities to help clients drive innovation and growth on the back of the changing Future of Work. As an example, the Pistoia Alliance is a non-profit alliance of life sciences companies. Cognizant has teamed with Eagle Genomics to develop a conceptual cloud-based platform to support Pistoia’s mission to tackle intercompany information sharing barriers that are standing in the way of innovation. This first of its kind industry platform will improve outcomes for each Alliance member by creating a collaborative environment to share pre-competitive information. Before I wrap up and hand over to Gordon, let me spend a minute talking to you about the steps that we are taking to continue to plan for our own future. For several quarters, we have described how business is at an inflection point. That is as true for us as it is for our clients. History is littered with examples of services firms who fail to recognize market transitions and adapt as their clients’ needs evolve. Late last year, Cognizant embarked on an enterprise-wide initiative to examine every aspect of our business to ensure continued success as our clients' most trusted partner. Our efforts fall into 4 areas. First, our customer relationships and quality of delivery. Quality and dependability remain paramount, but clients increasingly turn to us for counsel. In an environment where the balance of value will shift from labor arbitrage to intellectual arbitrage, we are institutionalizing the capabilities, processes and tools to cultivate ever stronger advisory relationships at every level of the organization. Second, for our people, who are core to our success, we are revamping how we identify, develop and retain talent, evaluate and manage performance and select and groom leaders with the aim of remaining the employer of choice for the millennial and the millennial mindset generations. Third, to continuous excellence. Throughout business units and corporate functions, we are streamlining processes, upgrading systems and ensuring scalability. Our goal is to focus relentlessly on eliminating internal road blocks to ensure that our associates can focus their energies on our core goal, which is serving clients. And fourth, by building a services portfolio that positions us as a Tier 1 provider in the markets we serve, whether that be the traditional linear revenue model that comprise the majority of our revenue today and non-linear revenue models that we are investing in for the future. These initiatives, sponsored by the most senior leaders at Cognizant, will keep us ahead of clients’ changing need and build a strong foundation for the years ahead. With that, let me turn it over to Gordon to discuss our detailed financial and operating results and after Gordon speaks, as always, we'll open up the floor to Q&A. Gordon?
Gordon Coburn: Thank you, Francisco, and good morning to everyone. During the first quarter, we experienced continued growth in our Financial Services segment, which includes our practices in Insurance, Banking and Transaction Processing. This segment grew 2.8% on a sequential basis and 43% on a year-over-year basis. It represented 41.6% of revenue. The demand within Financial Services was broad based across our clients. We saw a continued focus on initiatives to drive costs and operational effectiveness, support for growth initiatives such as the adoption of mobile technologies and social CRM platforms, platform build out and technology refresh of legacy systems. These areas were partially offset by the previously anticipated ramp down in M&A integration work, primarily in the United Kingdom. Healthcare continued its growth during the quarter with 2.9% sequential growth and 38% growth compared to the first quarter of 2010. This segment represented 25.4% of revenues. Demand within this segment was driven by increased Consulting activity focused on transforming clinical and commercial processes, as well as medical claims analytics to better predict and control medical costs, expansion of BPO services including clinical operations, claims, benefits coding and enrollment, code set 5010 testing work and ICD-10 assessment and remediation work and platform modernization initiatives. Manufacturing, Retail and Logistics had an exceptionally strong quarter. This segment continued to build on the momentum from 2010, growing 12.7% sequentially and 58.7% year-over-year. It represented 20% of revenue. Demand within this segment was driven by continued demand for large-scale transformational and systems integration projects among our major Manufacturing clients. Increased demand from our Retail clients for both development projects and core Retail systems, as well as Business Transformation projects, focused on multichannel e-commerce integration, and Consulting work and global distribution in Logistics, as well as development of enterprise, architecture strategies and intelligent store concepts. The remaining 13% of revenue came primarily from other service-oriented industries of communications, entertainment, media and high technology, which as a group grew 2.8% sequentially and 31% year-over-year. For the quarter, Application Management and Development were each approximately 50% of revenue. Application Management grew 30% year-over-year and 3.8% sequentially. Application Development grew 59% year-over-year and 5.4% sequentially. 78% of revenue came from clients in North America. North America grew 5.7% sequentially and 41.6% year-over-year. Europe was 18.7% of total revenues, and 3.3% of revenue came from Asia Pacific, Middle Eastern and Latin American markets. For the quarter, Europe grew 1.5% sequentially and 47.4% year-over-year. The United Kingdom, as we expected, declined 3.5% due to the wind down of certain merger-related work. Continental Europe grew 11.7% sequentially due to strong project-specific ramp up at a few of our existing clients. During the first quarter, European revenue was positively impacted by approximately $2.9 million compared to the fourth quarter due to the strengthening of European currencies. On a constant dollar basis, Europe grew 0.4% sequentially and 44% year-over-year. We continue to see positive pricing momentum during the first quarter, a trend that began in Q4 of last year. Pricing on a sequential basis was up over 2% both on-site and offshore. Many of the pricing increases agreed to with our clients during the latter part of 2010 became effective during the first quarter. We had gross additions of 59 new customers during the first quarter. We closed the quarter with 714 active customers. During the quarter, we continued our program of eliminating some very small clients that we had accumulated over the years through acquisitions and organically. During the quarter, the number of accounts which we consider to be strategic, increased by 7. This brings our total number of strategic accounts to 173. We continue to see a trend towards newer strategic customers embracing a wider range of Cognizant services at an earlier stage in the relationship. Turning to costs. On a GAAP basis, costs of revenues, exclusive of depreciation and amortization, were approximately $782.2 million for the quarter and included approximately $3.5 million of stock-based compensation expense. The increase in cost of revenues is primarily due to additional technical staff both on-site and offshore required to support our revenue growth. We increased our technical staff by over 7,000 people during the quarter and ended the quarter with over 104,000 technical staff. First quarter SG&A, including depreciation and amortization expenses, was $323.7 million on a GAAP basis and included approximately $12.6 million of stock-based compensation expense. Our GAAP operating margin was 19.4% and our non-GAAP operating margin, which excludes stock-based compensation expense, was 20.5%, slightly exceeding our target range of 19% to 20%. We expect our operating margin to come back to within our target range during the second quarter and for the full year as we absorb the impact of 2011 wage inflation. The average rate for the rupee was 45.2 in the first quarter of 2011 versus 44.8 in the fourth quarter of 2010 and 45.9 in Q1 of 2010. $195 million of rupee-denominated operating expense cash flow hedges were settled during Q1. This resulted in a $11.6 million gain, which was recognized in operating expenses. We have further extended our hedging program into 2014, with over $2.8 billion in outstanding hedges of our rupee expenses. We had $8.9 million of interest income. In addition, we had a net gain of $6.2 million of other non-operating expenses, which included $6 million of net foreign exchange gains related to balance sheet remeasurements, primarily associated with the movement of the dollar versus the rupee, pound and euro and certain balance sheet hedges. Our GAAP tax rate for the first quarter was 25.7%. Our diluted share count for the first quarter was 311.8 million shares, roughly flat compared to Q4 of last year. During the first quarter, we repurchased slightly more than 1 million shares at an average price of $74.54 for a total cost of $77.1 million. Since announcing our $150 million share repurchase program last year, we have purchased over 1.6 million shares at a cost of $119 million. Turning to the balance sheet. Our balance sheet continues to remain very healthy. We finished the quarter with about $2.17 billion of cash and short term investments. During the first quarter, operating activities generated over $45 million of cash. Consistent with our historical cash flow patterns, Q1 operating cash flow is negatively impacted by the timing of 2010 bonus payments. Financing activities used $49 million of cash. This was comprised of the expenditure of $77 million towards our share repurchase program, partially offset by proceeds of $28 million related to option exercises and tax benefits, as well as our employee stock purchase program. We spent approximately $56 million for capital expenditures during the quarter. For 2011, we continue to expect to spend approximately $285 million on capital expenditures, the majority of which will support another wave of facility expansion. Based on our approximately $1.1 billion receivables balance on March 31, we finished the quarter with a DSO, including unbilled receivables, of 74 days, up from 71 days in the fourth quarter and down from 76 days in the first quarter of last year. The unbilled portion of our receivables balance was approximately $128 million at the end of the first quarter. Approximately 62% of the Q1 unbilled balance was billed in April. During the quarter, 31.8% of our revenue came from fixed price contracts, down from 32.3% in the fourth quarter of 2010. Net headcount increased by over 7,200 people during the first quarter, of which approximately 40% of the gross additions were hired directly from college, and 60% were lateral hires of experienced IT professionals. We ended the quarter with over 111,200 employees globally. As expected, we saw a decline in attrition during the first quarter as compared to Q4. As we have discussed in the past, there's no consistent methodology in the industry to report attrition numbers. We have historically reported attrition by annualizing the turnover which occurred within the quarter, including both voluntary and involuntary. This number decreased sequentially to 15.1%. It is also important to note that our attrition statistics include all departures, including BPO, and including employees in our training program. As intended, we brought utilization down a bit in the first quarter. This positions us well to have the appropriate staffing going into the remainder of the year. Offshore utilization was approximately 70% during the quarter. Offshore utilization, excluding recent college graduates, who are in our training program during the quarter, was approximately 80%. On-site utilization was approximately 88% during the quarter. At the end of Q1, we had over 10,500 unbilled people in our training program. Cognizant and the industry are at an important inflection point, which creates significant opportunities for us from a market standpoint. As I mentioned on last quarter's call, during 2011 we are focusing on a range of operational priorities to ensure that our people, processes and infrastructure are prepared to support these opportunities. Our top priority is to remain an employer of choice in our industry. We want to ensure that we continue to attract and retain associates that are smart, curious, collaborative, entrepreneurial, team-oriented and results-oriented. We want people to continue our tradition of viewing the success of Cognizant and its clients as a proxy for their own personal growth and ambitions. We are making very good progress on this initiative. Our recruiting organization is delivering record results. Our net addition of 7,200 people was a record first quarter for us. The quality of our recruits is fantastic. In addition, our first-class recruits coming directly from U.S. universities recently completed their training program. They are now out servicing our clients in North America. During the first quarter, we were ranked by Fortune Magazine as the third Most Admired IT Company behind only IBM and Accenture. We expect to promote a record number of employees this year. We believe that the percentage of our workforce that we will promote will once again be among the highest in the industry. This is part of our culture. We expect our employees to deliver industry-leading revenue growth, which creates the ability for us to provide them with industry-leading career growth. We also know that giving back to society and protecting the environment are critically important issues. We are making solid progress on these fronts. Next month, we will release our first sustainability report. We have set the objective of reducing our per capita greenhouse emissions by 25% for the 5-year period ending in 2013. We've already achieved the majority of this goal, thanks to significant efforts by our employees, as well as investments in optimizing the efficiencies of our infrastructure operations. Our global program to engage our employees in volunteer activities has achieved new records of participation. Over 8,000 of our employees have volunteered in language, computer literacy and other training programs that will improve the lives of over 130,000 students. I'd now like to comment on our growth expectations for Q2 and full year 2011. For the second quarter of 2011, we are projecting revenue of at least $1.45 billion. For full year 2011, we continue to expect industry-leading revenue growth. Based on current conditions and client indications, we are raising guidance for revenue to at least $5.925 billion. This represents growth of at least 29%. For the coming quarter and for the full year, we expect to operate within our target operating margin range of 19% to 20%, excluding the impact of equity-based compensation. Therefore, we are currently comfortable with our ability to deliver in Q GAAP EPS of $0.67 and non-GAAP EPS of $0.71, which excludes estimated stock-based compensation expense of $0.04. This guidance anticipates a Q2 share count of approximately 312.8 million shares and a tax rate of approximately 25.4%. This guidance excludes any non-operating foreign exchange gains or losses. As previously disclosed, the increase in our tax rate for 2011 to approximately 25.4% is due primarily to the expiration of the Software Technology Park tax holiday in India, which expired on March 31 of this year. For full year 2011, based on current business trends, we expect GAAP EPS of at least $2.72, and we expect our full year non-GAAP EPS to be at least $2.91, excluding $0.19 of estimated full year stock-based compensation. This guidance anticipates a full year share count of approximately 313 million shares and a tax rate of approximately 25.4%. And finally, this guidance excludes any future non-operating FX gains or losses. Now we'd like to open the call for questions. Operator?
Operator: [Operator Instructions] Our first question comes from the line of Edward Caso of Wells Fargo.
Edward Caso - Wells Fargo Securities, LLC: I was curious if you are seeing that the pace at which the market is transitioning from sort of a lights-on only interest to the sort of innovation and how Cognizant is adapting to that.
Francisco D'Souza: Yes, I think if we look at our pipeline, this is Frank, and if we look at our pipeline, I would say that it's roughly equally balanced between those 2 things, those 2 mandates that I talked about. And I think the big reason for that is that while innovation and growth are clearly front and center and driving a significant opportunity for us, at the same time, as we've been talking about for some quarters now, the share shift to a global delivery model continues. So what you might think of as the more traditional efficiency and effectiveness types of services including the new services like BPO, IT Infrastructure Services and so on, continue to be under-penetrated in our view and, therefore, a significant portion of our pipeline. So I think it's pretty equally balanced between innovation and growth and what we think of as efficiency and effectiveness type of solutions.
Edward Caso - Wells Fargo Securities, LLC: Do you think that your investments over time have positioned you to capture share, or do you sense that you're capturing share here?
Francisco D'Souza: I think certainly, particularly as the clients look to balance these dual mandates. The investments that we've been making in things like Cognizant Business Consulting, which has been, as you know, a multi-year investment and a journey that we've been on, I think at this point in the cycle, as clients are more focused on growth innovation, are significant differentiators and are allowing us to compete effectively and take share.
Operator: Our next question comes from the line of Rod Bourgeois of Bernstein.
Rod Bourgeois - Sanford C. Bernstein & Co., Inc.: Yes, I wanted to inquire just real quickly about the demand progression in the June quarter. June is clearly your seasonally strongest quarter of the year, and your guidance for 5.7% sequential revenue growth while solid, it's also benefiting some from currency. And I'm wondering if you're seeing anything in this June quarter that's different in terms of seasonality, something that might be muting it versus history. Or could this be potentially conservative guidance that you're providing for your June quarter, given the pattern that normally occurs?
Gordon Coburn: Rod, it's Gordon. I think in North America, it's a fairly normal pattern. We saw a nice pickup in demand in North America as we went through Q1, which positions us well for Q2. But as we said, Europe was soft in Q1. The pipeline in Europe right now is solid. We're winning stuff, but I don't expect that to kick in, in Q2. That's more of a Q3 phenomenon. So it's a normal pattern in North America, not as normal a pattern in Europe. And obviously, that mutes sort of that surge in Q2 a bit. Obviously, we used the words at least in our guidance for Q2. But just to keep in mind, Europe I don't think will be a normal pattern the way North America will be. Now the good news is North America's the majority of our revenue.
Rod Bourgeois - Sanford C. Bernstein & Co., Inc.: Got it. And then just real quickly, Gordon, you guided up a little more on revenue growth than you did on your EPS, is that because of a slightly higher assumption on the tax rate?
Gordon Coburn: Tax rate, it was up 40 basis points higher than we originally thought has definitely settled down. After that, I think it's just noise here and there.
Operator: Our next question comes from the line of Tien-Tsin Huang of JP Morgan.
Tien-Tsin Huang - JP Morgan Chase & Co: Just on the Europe front, just curious, is the softness coming at all from the acquired businesses, or is it more organic in nature? And also what drives your confidence that Europe will pick up, it sounds like, in the second half of the year?
Francisco D'Souza: Tien-Tsin, it's Frank. No, the -- I wouldn't say that the softness is coming particularly from the acquired businesses in Europe. I think it's still -- we saw sort of softness across the -- particularly across the business in -- but I think, as Gordon said, our pipeline in Europe remains solid. We've actually are feeling good. We've closed deals at this point. So we feel good that demand in Europe will start to come back, and our pipeline remains solid in addition to the deals we've closed. So we feel good that demand in Europe will start to come back, and you'll see that in revenue in the back half of the year.
Gordon Coburn: There's nothing structurally that we're seeing as a red flag in Europe. It's kind of simple. The economy rebound is lagging in Europe, but that there’s been a little bit more disruption over there, a combination of the massive cuts in the U.K. budget, some of the sovereign debt issues. No one's thing drove it, but you add it all together, and it's just -- the rebound is just lagging behind a little bit.
Tien-Tsin Huang - JP Morgan Chase & Co: Okay, maybe if I can just sneak in and ask the same question for Asia. What happened there exactly? And also does Japan have anything to do with it? I didn't think you had much of an exposure there.
Gordon Coburn: No. Japan had nothing to do with it. That's more just loss, small numbers. So I wouldn't focus on Asia being down 2% as meaningful one way or the other, 1 or 2 accounts ramping up or not ramping up can do that, because it's only 3% of revenue. I wouldn't read a whole lot into Asia.
Tien-Tsin Huang - JP Morgan Chase & Co: Understood, okay.
Operator: Our next question comes from the line of Moshe Katri of Cowen.
Moshe Katri - Cowen and Company, LLC: Gordon, what do you expect for wage increase comp this year? And just remind us, I think this was going to be a June quarter kind of comp increase, is that what happens?
Gordon Coburn: Exactly, or it starts to kick in, in June quarter. For the majority of our folks, it's effective May 1, and then for the more senior folks, it's July 1, to the exact same timing as last year. And we're very pleased with where wage increases are landing. It's right where we are planning. We're right in line with the industry. We're going to be at 12% to 14%, which if you look at where others in the industries have stayed, they're going to be -- it's virtually identical. It's just what we budgeted for.
Moshe Katri - Cowen and Company, LLC: Okay. And then Q2 guidance, at least, earnings guidance seems a bit muted. Are we -- is this primarily reflecting the wage comp increases that we're talking about? Are we spending a bit more in sales and marketing, given where we are in the environment?
Gordon Coburn: For Q2 on a margin standpoint, I expect to be right back down to normal, so the upper end of our range. Remember in Q1, I had a non-operating FX gain, so Q1 EPS benefited by about $0.02 from that. But Q2 margin is exactly where we plan to run the business, high end of the 19% to 20% range.
Moshe Katri - Cowen and Company, LLC: So there's really nothing unusual in terms of how we should expect Q3 -- Q2 to 3 and 4 to kind of take place in terms of -- big shift in terms of margin trends down the run rate?
Gordon Coburn: Operating margin, no, that should be quite steady. Obviously, there will always be non-operating FX gains and losses, which are excluded from guidance, both the good and the bad. But operating margin, if you look last year, same thing, we overshot in Q1, because we sort of had to get ready for the wage inflation in Q2. Wage inflation kicks in. That, we cover by a combination of margin coming back down to the range. We'll get - utilization goes up a little bit. We have some more -- a little bit more pricing that kicks in and some scale efficiencies, and that makes all the economics work.
Operator: Our next question comes from the line of Ashwin Shirvaikar of Citigroup.
Ashwin Shirvaikar - Citigroup Inc: Gordon, my question is on revenue growth over the next 1 to 2 years, just thinking a little longer term, are you looking for a specific vertical or offering or geography to lead the charge with regards to -- you always have 1 or 2 verticals that are really doing way above average. What's that one vertical or geography or offering going to be in your planning?
Francisco D'Souza: Actually, I think you have to look at our businesses as a portfolio. If you look back over the last couple of years, in general I would say that our growth has been broad based across industry verticals and sectors. Now we continue to invest in new services to continue to drive growth longer term. But I don't think that any of our businesses at this point are at a place where I would say we've achieved full penetration or that these are mature businesses. I think there's plenty of runway in each of our businesses. Having said that, given that we've been investing in the new service offerings and new geographies, which are smaller at this point, you'll see greater percentage growth rates from the new or emerging businesses over the coming years, whether those are non-U.S. geographies, or whether those are some of our newer service offerings and service lines, because starting from a smaller base and growing from there, obviously, shows you have a lot of small numbers working for you. But I would say that across the business, they're very few, if any, places that I would point to and say that these are mature businesses that don't have room for growth.
Ashwin Shirvaikar - Citigroup Inc: And in terms of just on-site growth or U.S. employee growth, any commentary there? I know a few of your competitors have been making reasonably significant investments to become bigger in the U.S.
Gordon Coburn: The answer is absolutely, yes. We have talent around the world. A couple of examples in the U.S., I think we announced late last year that we're doubling the size of our Phoenix development center to 1,000 people. That's well underway. I think we move in, in a couple of weeks. We're expanding another one of our development centers in the U.S. We added 1,400 jobs in the U.S. in the first quarter of this year. So we're aggressively expanding here, as well as elsewhere throughout the world.
Francisco D'Souza: And Gordon mentioned also, Ashwin, our campus recruiting program that we've been operating in the U.S. now for the last few months, we've hired, for the first time, students off college campuses in the U.S., put them through a training program and now they’re, this quarter, are out at client sites billing. So that's another place that we'll continue to focus and emphasize.
Operator: Our next question comes from the line of Darrin Peller of Barclays.
Darrin Peller - Barclays Capital: Quick question on the verticals again, just on the Financial Services side, there's been competitors saying that M&A integration is still a driver. First, would you agree with that? And then it seems like at least Retail and Manufacturing are becoming -- is becoming one of the main drivers to boost growth for this year and beyond. Can you just help us understand, really, the underlying drivers in that segment and the sustainability of that kind of growth going forward?
Francisco D'Souza: Yes, I think on the M&A integration side, at least for Cognizant, I think it's probably very firm-specific, because we were working on a couple of large M&A integration programs. Those are tailing off at this point. I don't expect our -- absent a wave of new mergers in the Financial Services or in another industry, I don't expect to benefit from additional new M&A work in a significant way as we did last year. So I think that the impact of M&A integration work is probably relatively firm-specific within our competitor base. With respect to Retail and Manufacturing and Logistics, I mean, I think that what's going on there is that Retail, in particular, is an industry that adopted global delivery relatively later, and so the opportunity for growth there is larger. It's perhaps more under penetrated than some of the other industries. If you look at, let's say, Financial Services and telecommunications that adopted global delivery much earlier, Retail isn’t at that level of adoption, so you see greater growth of opportunity there.
Darrin Peller - Barclays Capital: So is this a segment we can expect to see – would you call it the first or second or third inning of this type of growth?
Gordon Coburn: Certainly earlier than our other industries. Yes, first would probably be a little too optimistic, but it's -- I mean, the first, maybe third inning.
Operator: Our next question comes from the line of Joseph Vafi of Jefferies & Company.
Joseph Vafi - Jefferies & Company, Inc.: Just to answer or to ask a question just a little bit differently, if you kind of look at the big growth in Manufacturing and Retail in Q1 or the acceleration there and you look at your Q2 guidance, has that business kind of accelerated to already the kind of a mature-ish growth run rate, or do you expect more acceleration in Q2 in that vertical to be part of the kind of the guidance here for acceleration overall in Q2?
Gordon Coburn: Yes, I don't think -- I'm not sure I would want to set the expectation that way would accelerate sequentially from the growth rate in Q1. However, I would certainly expect it to grow faster than company average.
Joseph Vafi - Jefferies & Company, Inc.: Okay. And then secondly on the bill rate side, kind of nice bill rate bump up here. How should we look at that bill rate moving forward, or where you actually did see price increases? Were those with clients who came up for renewal and you were able to renegotiate price? And so should we expect to see potentially more price increases as you see more renewals come up in Q2 and beyond?
Gordon Coburn: Sure. So the way it worked, we started probably April of last year. We went out and we're talking to clients about there’s wage inflation. We're going to need price increases. We realize you need a little time to plan for it, and a little bit kicked in third quarter, it starts to kick in, in a meaningful way, fourth quarter and quite a bit of it kicked in, in Q1 of this year. There's still a little more way to go, but I think a good chunk of what we can get is under our belt now or happened during Q1. Though there's certainly still a few accounts. And now we're out having discussions for the next cycle of rate increases for 2012.
Operator: The next question comes from the line of Glenn Greene of Oppenheimer.
Glenn Greene - Oppenheimer & Co. Inc.: I guess, the first question, I was just wondering if you can maybe talk about the surprises from your own internal expectations in the quarter. And I know you had sort of a modest revenue beat, but it's a little bit less than we've been accustomed to. Was it really just the European softness or maybe, Gordon, you can sort of talk about sort of how it played out relative to your expectations entering the quarter?
Gordon Coburn: Yes, I think the only meaningful surprise is the European softness. North America had been a little bit stronger, yes. But the trend in North America is what I expected, a weak January that kind of picks up as you go through the quarter. Europe was softer. I don't know if that was – things changed dramatically, or we were just -- as we're going through the budgets process, we were just more focused on North America, and our minds extrapolated that to Europe. So it's probably a combination of the 2, but Europe was the main surprise.
Glenn Greene - Oppenheimer & Co. Inc.: And then related to that, sort of your visibility and conservatism sort of built into the full-year expectations. In the past couple of years, actually there's been a fair amount of conservatism built then, and you’ve had nice upside results for a while. I'm just wondering -- trying to get a sense for how we should sort of be thinking about the back half of the year?
Gordon Coburn: Sure. If you kind of back out, gave the math off of our Q2 guidance, it shows the back half of the year grow sequentially about the same pace as Q1, give or take. And that has certainly some conservative built in, because we know this year will be a year more driven by discretionary development work than maintenance work and obviously, that's a little bit less predictable. We have -- even though Europe pipeline is actually -- has really picked up quite nicely, we still have some conservatism and for that case, there's still disruption in the Europe economies. So the way I’d view it is the reason we use the at least guidance is we're quite comfortable and have clear visibility to the 29%. Certainly, there's additional opportunity. But particularly, because it's going to be more in the development side, a little too early to be specific on that opportunity.
Glenn Greene - Oppenheimer & Co. Inc.: And then finally, real quickly, the mix that we should expect for laterals versus pressures. I guess I was a little surprised, the percentage of laterals was as high as it was.
Gordon Coburn: You had some timing there because remember, the college kids, the next class graduates in May in India. If I look to the full year, I think it will still be majority of laterals, but much closer to that 50-50 ratio that we've been for the last couple of years.
Glenn Greene - Oppenheimer & Co. Inc.: Okay. Perfect.
Operator: Next question comes from the line of Bryan Keane of Credit Suisse.
Bryan Keane - Crédit Suisse AG: Just wanted to drill down on Europe. It looks like most of all the weakness was in the U.K. So what is the outlook specifically in U.K. going forward? Should we see a rebound in that country?
Gordon Coburn: U.K., you have -- the real performance both in the U.K. and the continent there are getting masked by a couple of things. So in the U.K., we were down 3.5%, but a good chunk of that was the ramp down of a couple of clients where we're doing M&A work. Just like in the continent. The continent grew 11%, 12%, but that's a little misleading. There were a couple of clients with very specific projects that caused the rates to go that high. But overall, U.K. is softer than the continent. But as we said, we've seen things lag in both the continent and the U.K. economies, things are clearly lagging the U.S. As we've said though, the good news is deals are starting to close now. A material difference than it was 2 or 3 months ago.
Bryan Keane - Crédit Suisse AG: And those pickup in deals are in the U.K. as well, or is that just in Continental Europe?
Gordon Coburn: In both.
Bryan Keane - Crédit Suisse AG: Okay. And then just on the Healthcare side, it grew a little less than the company growth rate. What's the outlook for Healthcare as we go throughout 2011?
Gordon Coburn: It's always a little tough to tell. I think there's probably more opportunities for us on the payer side than on the life sciences side, and some of that's just timing on where customers are in dealing with issues within their industries. But as a segment, we would certainly expect it to be in line with the revenue growth or at least the payer side, probably a bit above revenue growth -- above company overall growth.
Bryan Keane - Crédit Suisse AG: Okay. Just last question for me. Any impact from clients’ spending due to Japan crisis or Middle East, or anything else that disrupted kind of the economies in the past quarter?
Gordon Coburn: We're still small in those regions. It had virtually no direct impact on us. The only impact, and I'm not sure I'd point to this in a material way, is some of the stuff happening in North Africa may have spooked some of the European clients a little bit just due to the proximity and some of the relationships with North Africa, but nothing that's material for us.
Francisco D'Souza: And on Japan, I would just -- about in Japan, similar to the North Africa, I wouldn't point to this in any material way, and since we don't have a big business in Japan, it didn't have a big impact on us in the quarter. But we did see some clients who have significant operations in Japan or who have significant supply chain connections to Japan sort of divert their attention to dealing with that, and so that caused a little bit of a pause in decision-making with those clients. But again, I want to be clear, I wouldn't point to that as a big disruption for us in the quarter.
Bryan Keane - Crédit Suisse AG: And that has picked up, Francisco, or not?
Francisco D'Souza: Yes, I think that's sort of largely behind us at this point.
Operator: Our next question comes from the line of Joseph Foresi of Janney Montgomery Scott.
Joseph Foresi - Janney Montgomery Scott LLC: I wonder if you could start by talking about this year versus last year, how are we trending on deal size pipeline and realization versus last year.
Francisco D'Souza: It's a tough comparison to make, I mean, clearly -- let me start by saying that we are very -- we remain very optimistic in the outlook, and the deal pipeline remains strong. Deal sizes, in general, have been trending up. And as I said earlier in the call, we're seeing a lot of -- we see an equally balanced pipeline between what I think of as innovation and growth-driven opportunities and efficiency and effectiveness opportunities. The reason I prefaced by saying that it's a little difficult to answer is that last year, we had a lot of the impact of the pent-up demand and the M&A integration work. And so I think what you're seeing now is a more normalized pipeline, given the absence of the pent-up demand that we saw last year. So looking at comparisons is a little difficult, but I feel very optimistic that our pipeline is strong this year.
Joseph Foresi - Janney Montgomery Scott LLC: And I think as we kind of subtract out, maybe you should just talk about the puts and takes based on that to answer the prior question. As we subtract out sort of the M&A integration work, what compensates for that? And do you feel like it's going to compensate and then add upside, or will you -- I mean, maybe you should talk a little about the puts and takes of the demand side.
Gordon Coburn: Okay. So the M&A work, obviously, was an anchor for us in Q1. Still a little bit of an anchor in Q2 in the U.K. as it potentially is trailing off. The offset to that is the things that Francisco talked about earlier, really, 2 areas, client spending on discretionary innovation work, and also client spending to achieve efficiency and cost savings. So it's our traditional business and the newer stuff our clients wants to do, offsetting the completion of the M&A work.
Joseph Foresi - Janney Montgomery Scott LLC: And then just finally, just looking at the metrics, are we at a utilization level that you're comfortable with at this point, or maybe if you could just talk about how you expect hiring and utilization, and the pricing to trend from this point?
Gordon Coburn: Sure. So in utilization, very comfortable with where we are at Q1. And I said earlier, but that will probably come up a little bit. The business is operating perfectly fine where we were in fourth quarter of last year, and we came down about 3 points in Q1. But it's sort of we're back in the range, but one of the levers I have for wage inflation is to -- from where it was in Q1, take utilization up a little bit, and very comfortable doing that. Pricing, the biggest chunk of it has kicked in already. We're up 2% sequentially in Q4, another 2% on site and offshore in Q1. We'll get a little bit more improvement, but a lot of the stuff that we negotiated last year has now kicked in. A few things start to kick in, in Q2.
Operator: Your next question comes from the line of Nabil Elsheshai of Pacific Crest Securities.
Nabil Elsheshai - Pacific Crest Securities, Inc.: First, Francisco, you mentioned customers upgrading their packaged application, expanding the usage. I was wondering if you could comment on, I guess, the sustainability of that. Are we in a -- do you see us at a multi-year packaged, refresh cycle, or is this more of a short-term upgrade cycle?
Francisco D'Souza: I think it's probable but I would probably characterize it as a longer-term trend. I think that it's driven by this point that we've made a few times in a couple of questions around the growth and innovation agendas of our clients. The enterprise application still remains the backbone of most enterprises today. And so as clients shift to innovation and growth and look to add new capabilities, in general when that starts to translate into a technology solution, that implies either an upgrade of the core backbone or it implies modification of that core backbone to integrate with the new capabilities. And I don't see enterprise applications not being a core part of a clients' backbone for some time to come. So I think that the strength of the core ERP backbone will continue for several quarters.
Nabil Elsheshai - Pacific Crest Securities, Inc.: Okay. Great. And then just a follow-up on some questions earlier just specifically about Retail. The last time gas went over $4 a gallon in the U.S., there was a change in spending behavior with CPG and Retail. Have you seen any signs of that happening in the pipelines for new projects with your Retail customers?
Francisco D'Souza: We haven't, never. But I would remind you that because of the sort of stage where we are with Retail adoption of the global delivery model, if retailers come under increasing pressure as we've seen in the other cycles, my guess is what that will do is perhaps create even more of a drive to move things to the global delivery model, as retailers will continue to focus on bottom line if demand starts to become – or revenue, their revenue, and demand starts to soften.
Nabil Elsheshai - Pacific Crest Securities, Inc.: Great. And then last question, some of the other outsourcers have looked at fixed-priced projects as a way to also kind of mitigate wage gains. You guys have not seen the same level of increase there. Is that something that's going to remain steady, or are you going to increase the focus on more fixed-price types of engagements?
Gordon Coburn: Clearly, we would like to increase the percentage revenue coming from fixed price. But what we're finding is customers want to ramp up and get going with it so quickly a lot of times they say, "Let's just get going on a time and material basis and later on we'll try to flip it over to fixed price.” But strategically, would we like to increase it? Yes. We've been pushing for it, but just due to the growth, it's been a challenge because clients want to get going so quickly.
Operator: Your next question comes from the line of George Price of BB&T Capital Markets.
George Price - BB&T Capital Markets: First on, just on Financial Services, I wanted to ask about work around regulatory reform, things like the VAT bill, where are we in the timing of work related to that? Do you have any increased visibility on how that kind of work might impact other work in the Financial Services vertical? Will it cannibalize some work? Any additional thoughts on that?
Gordon Coburn: Sure. Clearly, we think it's an opportunity, but I think it's a probably 2012 opportunity. We're doing Consulting work right now, but people are not going to have the implementation mode at this point, because there's still a lot of clarity that needs to happen. So one thing’s we're happy about, we're having very healthy growth in Financial Services even without any meaningful spend on regulatory. And as that kicks in, which I think is more likely 2012, it will be an additional opportunity for us.
George Price - BB&T Capital Markets: Okay. And second question, just second question on the competitive environment, you've had several competitors that are clearly undergoing some internal shakeups, management changes, reorganization. And I'm curious, what are you seeing, I guess, in terms of any impact to their competitive position and their execution? And what, if anything, are you doing to perhaps take advantage of their situations?
Francisco D'Souza: I think, George, we remain focused on being competitive in the marketplace and winning by being -- by providing superior value to our clients. We continue to be very comfortable in our win rates. I'm not sure that changes within our competitors' management structures are changing that one way or the other, and I'm not particularly focused on that. What I'm focused on is making sure that we have a winning portfolio of services and a great team to execute against those and winning in the marketplace.
George Price - BB&T Capital Markets: Okay. Great.
Operator: Our final question comes from the line of Julio Quinteros of Goldman Sachs.
Julio Quinteros - Goldman Sachs Group Inc.: Can you just talk from a capacity perspective in terms of the campus build out and the expectations that you guys have over the next couple of quarters, I guess, actually into next year, where you are in terms of being able to ramp up headcount?
Gordon Coburn: Sure. I don't really view the fiscal infrastructure as a constraint, because we're always going out and leasing buildings. I just leased a couple more buildings recently. The new construction program, a lot of that doesn't come online for another year or 2. Some of the old construction is just coming online now. So realtime, both owned facilities and additional significant leased facilities are coming online. So when I think about the business, recruiting and integration can certainly be a constraint at some point. But the physical infrastructure of that, that I think is pretty matchable at whatever level we need to be.
Julio Quinteros - Goldman Sachs Group Inc.: Got it. And just for last -- really quick on the last one, in terms of the progression of headcount additions, given the huge add this quarter, especially after what we saw in December, what's the pace look like for June, September and December in terms of headcount additions?
Gordon Coburn: Sure. As I said, I think we'll probably take utilization up a touch from where it was in Q1. And Q1, we came down about 3 points, and that's one of my levers for wage inflation. The exact timing of that, not quite sure. But at a real macro level, headcount and revenue probably on a annualized basis, probably grow about in line with each other.
Julio Quinteros - Goldman Sachs Group Inc.: Got it. Great.
Francisco D'Souza: Thanks, everyone. Thanks, all, for joining us on this call, and we look forward to talking to you all again in the next quarter call.
Operator: Thank you for participating in the Cognizant Technology Solutions' First Quarter 2011 Earnings Conference Call. You may now disconnect.